Operator: Good morning, and welcome to the General Motors Company Fourth Quarter 2022 Earnings Conference Call. During the opening remarks, all participants will be in a listen-only mode. After the opening remarks, we will conduct a question-and-answer session. [Operator Instructions] As a reminder, this conference call is being recorded, Tuesday, January 31, 2023. I would now like to turn the conference over to Ashish Kohli, GM's Vice President of Investor Relations.
Ashish Kohli: Thanks Michelle and good morning, everyone. We appreciate you joining us as we review GM's financial results for the fourth quarter and calendar year 2022. Our conference call materials were issued this morning and are available on GM's Investor Relations website. We are also broadcasting this call via webcast. Joining us today is Mary Barra, GM's Chair and CEO; Paul Jacobson, GM's Executive Vice President and CFO; as well as Kyle Vogt, CEO of Cruise. Dan Berce, President and CEO of GM Financial, will also be joining us for the Q&A portion of the call. Before we begin, I'd like to direct your attention to the forward-looking statements disclosure on the first page of our presentation. The content of our call will be governed by this language. And with that, I'm delighted to turn the call over to Mary.
Mary Barra: Thanks, Ashish, and good morning, and thank you all for joining us this morning. I want to begin today's call by recognizing the General Motors team, all of our employees and including our dealers and suppliers. It takes experience, skill land teamwork to adjust to external factors like higher interest rates, commodity price increases and supply chain disruptions and deliver our commitments year in and year out. Our team rose to meet every challenge thrown at them in 2022 and they delivered record EBIT-adjusted and a year of first that really sets us apart from our competition. For exam, GM led the U.S. industry in total sales and delivered the largest year-over-year increase in market share of any OEM alongside record ATPs. This reflects the strength of our product portfolio including our clear leadership in full-size pickups and full-size SUVs, great quality, and improved availability. Chevrolet and GMC delivered more than 1.1 million full-size pickups, full-size SUVs and mid-size pickups in the U.S. which is about 350,000 units more than our closest competitor. Our commercial fleet business is another area where we gain considerable, profitable market share. The team has earned a business of more than 300 major commercial accounts over the last several years which led to our best year for commercial deliveries since 2006. The inflexion point was driven by our investment in mid-size and full-size pickups including our capacity expansions to build more crew cabs and heavy-duty pickups. Our growing portfolio of EVs will enhance our strong sales and share performance across the board because we are targeting the most popular segment at multiple price points. This year we will have nine EVs in the market in North America including the Chevrolet Bolt EV and EUV which saw record sales. In fact they were the bestselling mainstream EVs in the second half of the year and we plan to build more than 70,000 this year for North America and other markets. Quality is another area where our team deserves recognition. In the latest J.D. Power U.S. Initial Quality Study, GM improved while the industry went backwards. Not only did we get better, GM and the Buick brand led the industry. Chevrolet had six top-ranked vehicles and the Corvette was the highest-ranked nameplate in the industry. This commitment to satisfying customers and delivering industry leading quality, helped our eligible U.S. hourly employees earn record profit sharing totaling $500 million, which brings the three-year total to $1.2 billion. Looking ahead, we expect that 2023 will be another strong year for GM. We expect to deliver EBIT-adjusted in the range of $10.5 billion to $12.5 billion which reflects operating performance similar to 2022 when you include the normalization of GM Financial's results and pension accounting. Our guidance includes a total of $2 billion in cost savings in the automotive business over the next two years. The areas we are focusing on include continuing to reduce complexity at all of our products and reducing corporate overhead expenses across the board. I do want to be clear that we're not planning layoffs. We are limiting our hiring to only the most strategically important roles and we will use attrition to help manage overall headcount.
Colorado and GMC pickup, our new Chevrolet Silverado and GMC Sierra Heavy-Duty pickups, and the all new Chevrolet Trax which is the best entry-level Chevrolet we ever built.:
We are especially excited about the Trax and so are our dealers in North America, Korea and other international markets.: The third generation, Chevrolet Montana pickup that we're launching in South America and Mexico starting next month, follows the same formula. The Montana's design is inspired by products like the Blazer and Trailblazer, and it will offer customers more room, the best combination of fuel economy and performance in its segment, and a comprehensive suite of safety features and an innovative reconfigurable bit. So let's talk about our growing EV portfolio. At our November Investor Day, we took you deep into the products and supporting strategies that will help us achieve solid EV profitability in 2025 and this is a breakout year for the Ultium Platform. Production at our Ultium Cells joint venture in Ohio is on track and the plant in Spring Hill will open later this year. Ultium Cells started hiring and training launch team members in October and they began equipment installation in November. These plants will help us meet pent up demand for the Cadillac LYRIQ. The GMC HUMMER EV pickup, and the BrightDrop Zevo 600, and it keeps our other EV launches on track. For example, BrightDrop continues to add new customers, including DHL Canada and they are on track to achieve the goal of $1 billion in revenue for the year. Excuse me. In April, we launched the Silverado EV work truck at Factory Zero for fleets. So we have opened up the order banks to begin converting initial demand for more than 200 customers into firm orders for 2023 production with the first deliveries in the spring. Interest is so strong that we believe demand will exceed supply in 2023 and into 2024. In the fall we will begin building the sold out Silverado RST First Edition, Chevrolet's flagship electric pickup, which will feature trailing capable super crews, four-wheel steering and a multi-flex midgate and up to 400 miles of range. We'll follow with other retail focused models in 2024, including the Silverado EV Trail Boss. This summer will also see the launches of the Chevrolet Blazer EV and Equinox EV. More than 40% of Blazer's reservation holders are new to EVs. Among the 60% who have owned an EV or hybrid, most are either Tesla customers or are our loyal Bolt EV and Bolt customers. What's common to everyone is they want an all-electric SUV that's stylish and roomy with enough range and fast charging capability to make it their daily driver, and they want it from a brand like Chevrolet with a proven record and reputation for quality. The Equinox EV has many of the same attributes and an even more affordable package, which makes it unique and another growth opportunity for GM. More than one third of the customers interested in the Equinox EV say affordability is their key consideration, and the latest data says nearly half live on the east or west coast or in Texas, which are all growth markets for us. This cadence of self-production and product launches combined with strong demand for the Bolt EV and EUV keeps us on track to produce 400,000 EVs in North America from 2022 to mid-2024 with the Ultium platform, volumes increasing significantly in the second half of this year.
Electra: All of these launches and initiatives will help us deliver near-term commitments we made at Investor Day, and we continue to make bold moves to drive profitable long-term growth. One example is our planned investment of more than $850 million in four U.S. plants to build the sixth generation of our Small Block V8, which will deliver even better fuel economy, about a 5% improvement and double digit reduction in emissions and more performance for our truck and SUV customers. We're also building an EV supply chain that is long-term competitive advantage for GM and a major source of new jobs, especially in North America. For example, our first three joint venture cell plants are expected to create 11,000 jobs in the U.S. with about 6,000 in construction and 5,100 in operations. In Quebec construction of our joint venture Cathode Active Material plant is moving quickly and the structure should be complete mid-year. In Texas, MP Materials has started construction of its first rare earth metal alloy and magnet manufacturing facility, and they expect to begin delivering product to us late this year. After several months of optimizing engineering and process parameters, Controlled Thermal Resources is now recovering lithium from its geothermal brine resource in California's Imperial County. This is an important step in completing the engineering design to recover lithium from geothermal brine at scale. In Australia, Queensland Pacific Metals has secured all major approvals to begin construction of a new facility that will be an environmentally sustainable center for processing nickel and cobalt. In December, Ultium Cells signed a supply agreement with POSCO Chemical to source artificial graphite from Korea. And today we announced the largest ever investment by an automaker and battery raw materials. Specifically, we are making an equity investment of up to $650 million in Lithium Americas to help them develop the largest known lithium resource in the U.S. and the third largest globally. Lithium Americas estimates that the potential output from this project could support annual production of up to a million EVs and create a thousand new jobs in construction and another 500 in operations. Production is scheduled to start in the second half of 2026, and after our initial investment, GM will have exclusive access to the lithium off-take in the first phase of the project. It's a landmark transaction and it certainly won't be the last major supply chain announcement for GM. We continue to pursue strategic supply agreements and partnerships to further secure our long-term needs and drive investment in the United States and across North America. As I said, all of these launches and initiatives tie back to the roadmap we shared at Investor Day. We're executing a product strategy in ICE and EV that is designed to support strong pricing and grow our share, especially in EVs by competing in multiple segments and price points. We're expanding domestic cell production to drive EV growth, and we are turning our EV supply chain into a powerful competitive advantage, and we're maintaining strong financial results during a period of high investments, which includes taking a very strategic approach to managing our costs. Next, I would like to dedicate a few minutes to Cruise because 2022 was a very significant year for them as well. So Kyle, I'm turning it over to you.
Kyle Vogt:
Robotaxi: We started the year with just a handful of cars on the road and a service that was restricted to employees. In January, though, we welcomed our first public riders and a few months later launched our commercial service, the first ever in a major U.S. city. And since then, we're approaching 1 million driverless miles, have completed tens of thousands of driverless rides and run the largest driverless AV operation in the world, currently peaking at 130 driverless AVs at the same time in our RedHill fleet. We've scaled responsibly, safely and transparently, including the release of the most comprehensive safety report in the industry. It outlines the key tenets and processes we put in practice each day that make our products an obvious choice against a backdrop of tragedies on the road caused by human error. We finished the year delivering on our promise, a bold one, to complete our first commercial driverless rides in Austin and Phoenix. In Austin, we went from zero footprint to revenue generating rides in just a few months, and this proves that our technology scales quickly to new regions with minimal modifications to our investment. And I think at this point, it's fair to say that our focus on complex cities like San Francisco doing that first has paid off and we've opened the door to rapid scaling this year and beyond. Looking ahead, this is the year when we really hone in on our key enablers for growth and profitability with our amazing experience, low cost available everywhere. We're going to expand our service in both existing and new markets, and we'll have more to come on this soon and we're working to ensure that our riders have an experience that is not only better than traditional ride hail, but the best transportation experience possible. The Origin will go into volume production later this year with closed course testing underway right now, and I can say after riding in an autonomous Origin myself, I can say that it's going to be hard to go back to conventional vehicle format for an AV. And as part of driving down costs and increasing availability, you'll also see us to continue to improve our operational efficiency and scale. And as an example, the most recent 100,000 driverless miles that we did clocked in eight times faster than the first hundred thousand miles that we did, and we expect our rapid expansion to continue at similar rates this year and next. Our operational efficiency also extends to how we spend our cash. We continually look for creative ways to reduce expenses, including more recently increasing our use of automation, increasing our cloud compute efficiency, and reducing our R&D real estate footprint. Our major investments in lower costs vehicles and hardware, such as the Cruise Origin, better routing and pricing algorithms and operational efficiencies are going to drop costs and improve our unit economics as we scale to more cities, drive up revenue and continue our march toward profitability. We'll be thoughtful and focused with our spending, but we do intend to pursue the massive market opportunity in front of us by significantly increasing our commercial footprint and operating scale. It's abundantly clear that we have a massive opportunity ahead of us and it's fully within our reach. We will continue to go out after it with integrity and with urgency. Thanks, Mary, back to you.
Mary Barra: Well, thanks Kyle, and now let me turn the call over to Paul, who is going to go into a detailed discussion of our results and our outlook.
Paul Jacobson: Thank you, Mary, and good morning everyone. Thank you for joining us. I also want to start my remarks by thanking the entire GM team. They remain focused on execution and consistently meeting our commitments no matter the obstacles, and this is exactly what they achieved in 2022. We generated full year revenue of $156.7 billion, representing strong year-over-year growth of 23%. This improvement was driven by the team overcoming numerous logistics challenges and collaborating with the supply chain to increase parts availability. As a result, we grew wholesale volumes 25% within our objective of 25% to 30% for the year. We continue to face some supply chain and logistics issues, but overall things remain trending in the right direction. For the full year, we achieved $14.5 billion in EBIT-adjusted 9.2% EBIT-adjusted margins, and $7.59 in EPS diluted-adjusted. These results were above the record profits we achieved in 2021 and at the high end of our revised EBIT-adjusted guidance range of $13.5 billion to $14.5 billion as December revenue and FX came in better than expected. They also speak to the robust health of our underlying business, which allowed us to offset $5.5 billion of commodity and logistics headwinds, $2 billion of incremental EV and growth spend, and $1 billion lower GM financial results. We generated adjusted free cash flow of $10.5 billion, which allowed us to both reinvest in growth opportunities and return excess cash to shareholders. In the fourth quarter, we repurchase an additional $1 billion of stock, bringing the 2022 total to $2.5 billion and retiring 65 million shares. We also opportunistically early retired $1 billion of senior unsecured notes in the U.S. and $0.5 billion of unsecured term loans in GM International, both maturing in 2023. Our goal remains to be responsible stewards of your capital. Getting into the fourth quarter results, revenue was $43.1 billion, up 28% year-over-year. We achieved $3.8 billion in EBIT-adjusted 8.8% EBIT-adjusted margins, and $2.12 in EPS diluted-adjusted. These results were driven by solid unit volume growth of 30% year-over-year during the quarter and robust pricing. North America delivered Q4 EBIT-adjusted of $3.7 billion, up $1.5 billion year-over-year, and EBIT-adjusted margins of 10.3%, primarily driven by higher volume and pricing, partially offset by mix and higher commodity and logistics costs. Production in the second half of 2022 increased with strengthening supply chain and logistics, allowing us to improve dealer inventory for certain vehicles. We ended the year with total dealer inventory, including in-transit vehicles running around 50 days with the number of vehicles physically on dealer lots improving gradually, but still approximately one third the level we were at in mid-2019, supporting a favorable supply and demand environment. I'd also like to share our perspective on inventory levels going forward. We are committed to actively managing production levels to balance supply with demand, and are targeting to end 2023 with 50 to 60 days of total dealer inventory on a portfolio basis. This is down 20 to 30 days from mid-2019 and is reliant on a continued improvement in logistical challenges the industry has faced. Within this portfolio target, trucks are expected to run at higher levels, reflecting greater customer driven variation requirements, and sedans and SUVs are expected to run at this range or lower. Throughout the year, sales seasonality, production schedules and timing of fleet deliveries may take us out of this range from time to time, but that is the targeted range at which we'll manage. We continue to see strong demand for our EVs with inventory turning on the Bolt EV and EUV in less than 10 days. The GMC HUMMER EV and Chevrolet Silverado EV have generated incredible demand and excitement leading to over 250,000 combined reservations. We've also seen strong demand for the Cadillac LYRIQ, GMC Sierra EVs as well.
Edition 1: GM International delivered Q4 EBIT-adjusted of $300 million, flat year-over-year, as the team did an impressive job executing in a volatile environment. This included $200 million of equity income in China, down slightly year-over-year due to lower volume and pricing pressure, partially offset by cost actions. EBIT-adjusted in GM International, excluding China equity income was a $100 million, up slightly year-over-year and profitable in all four quarters. These consistent results were driven by favorable pricing and volume, partially offset by mix and commodity costs. I want to take a moment and recognize the transformation this team has executed over the last few years, achieving over $2 billion of EBIT-adjusted improvements since 2018. This was done by exiting unprofitable markets, strengthening the portfolio, leveraging our strong brands to significantly improve pricing and mix, all while simultaneously driving down costs. They've done amazing work as a team and they should be lauded for that. GM Financial delivered strong results with Q4 EBIT-adjusted of $800 million, down $400 million year-over-year, primarily due to lower net lease vehicle income and higher cost of funds, partially offset by growth in the retail and commercial loan portfolios. Used vehicle prices have declined but continue to run above the contract residual value with a Q4 off lease return rate below 10%. Overall portfolio credit metrics continue to be strong in part due to a predominantly prime credit mix with net charge-offs up slightly due to moderation and credit performance, but still running below pre-pandemic levels. GM Financial paid dividends of $1.7 billion in 2022, and we expect similar dividends in 2023. Corporate expenses were $400 million in the quarter, flat year-over-year as we continue to invest in growth initiatives and drive productivity. Cruise expenses were $500 million in the quarter, up $200 million year-over-year, driven mainly by modifications to equity awards resulting in an accounting change in compensation expense. Our optimism continues to grow based on the great progress Cruise made in 2022, and their plans for rapid scaling and operationalizing of the business will result in a modest increase in cost during 2023. Let's now look towards 2023 for GM overall, which I know is a key focal point for everyone. While the environment remains uncertain, at a high level I'm pleased to report that when you exclude the impacts of lower pension income and GM Financial contribution, we expect to drive consistently strong core auto operating performance in 2023. This continues the trend we saw in 2022 and highlights the strong execution throughout the organization. Our plan is to continue to prioritize growth initiatives such as Cruise and BrightDrop, while investing to accelerate our transition to EVs to take advantage of our vertical integration and local sourcing strategies. Assuming a 15 million total industry volume and under current conditions, we expect EBIT-adjusted in the $10.5 billion to $12.5 billion range, EPS diluted-adjusted in the $6 to $7 per share range, and adjusted automotive free cash flow in the $5 billion to $7 billion range. At GM Financial the strong credit performance in historically high used vehicle prices resulted in extraordinary results over the last two years. For 2023, we expect earnings to normalize in the mid $2 billion range. We expect volume and mix combined to be a slight tailwind with volumes up 5% to 10% year-over-year, and mix partially offsetting as we continue to increase production in the sedan, small SUV and crossover segments along with GM International volume growth. Regarding North America pricing, while we anticipate incentives will increase from the record low levels we saw in 2022, we expect this headwind to be partially offset by realizing the full year benefit of MSRP increases on many model year 2023 vehicles, particularly full-sized SUVs and trucks, as well as pricing we expect to achieve on our new launches in 2023. We're also anticipating pricing actions outside North America primarily to help offset FX headwinds. Overall, we see commodities and logistics costs as a slight tailwind. Our longer-term steel and logistics contracts, which help protect us from higher market costs over the last two years, renewed at higher rates in the second half of last year. This combined with the strategic initiatives to locally source battery raw materials is expected to largely offset the tailwind we're seeing from lower raw material prices on our spot and indexed exposures. The $1 billion lower pension income impacts our fixed costs. This non-cash item does not impact our core auto operating results, but will be a headwind when comparing year-over-year in 2023. As Mary mentioned, we are very focused on keeping automotive controllable fixed costs in check despite our growth initiatives, which is why we are announcing a cost reduction program to take out $2 billion of costs over the next two years. Included in our guidance is the expectation to achieve 30% to 50% of that in 2023 and the remainder in 2024. This initiative is the result of several factors and demonstrates our continued commitment to closely manage our operations through this transformation and achieve North American margins in the 8% to 10% range through 2025. We expect capital spend to be in the $11 billion to $13 billion range inclusive of $1 billion invested in our Ultium Cells JV. We continue to shift resources to EVs with around 75% of our product specific capital dedicated to EVs and AVs. Even with the increase in capital spending, we expect our adjusted free cash flow to remain strong in 2023. As we said back in November, we expect that clean energy tax credits will be a material tailwind for GM over time because of the work we've been doing on vertically integrating the supply chain. For 2023, we anticipate at least $300 million in EBIT-adjusted benefit and expect this tailwind to increase significantly over the next few years as our cell production ramps and our North America focused supply chain comes fully into place. We're closely monitoring the dynamic macro environment as well as customer demand to make sure we're appropriately matching supply with demand. We will take quick and decisive actions on both the supply and the cost side to actively manage the business. What gives us confidence in our 2023 and long-term objectives is the work we've already done to position ourselves for success, repeatedly executing on our commitments and our ability to manage through a very challenging and dynamic environment. With a compelling EV and ICE product portfolio, long-term supply chain commitments, extraordinary manufacturing capabilities, a strong balance sheet, and our amazing team, I'm confident we'll continue to enhance the customer experience and deliver compelling growth on both the top and the bottom line. Mary?
Mary Barra: Okay, so with that, I think we're ready operator to start taking your questions.
Operator: Thank you. [Operator Instructions] Our first questions come from the line of Dan Ives with Wedbush. You may go ahead, sir.
Daniel Ives: Yes, thanks. A great quarter. Can you just talk about supply in terms of from a battery and lithium perspective? It just seems like you guys have being much more aggressive, making sure you have that supply through 2025. Just talk about some of those efforts and just giving you more and more confidence on the sort of EV targets over the coming years? Thanks.
Paul Jacobson: Yes, good morning, Dan. I'm really proud of what the team has done. You know, our collaborative effort across supply chain finance, business development have led to a, what I think is the strongest portfolio of battery raw materials going forward. We've fully secured all of our battery raw materials through 2025 and as you can see from the announcement today with the investment in Lithium Americas and the supply that we'll be able to get from the Thacker Pass, we're making rapid improvements and increases in our battery raw materials for 2026 and beyond. That is core to our strategy. What we've done, we've talked about being creative because what we're really trying to do is to create a portfolio that is in it for the long-term. So whether it's a combination of spot price movements, fixed price contracts across the board, we're looking at ways to creatively manage that and make sure that we're running it as a partnership. We want our partners to be successful too, especially in this space as we're developing new sources of these raw materials and this is such a great example of that partnership mentality coming to fruition.
Daniel Ives: Thanks. And then just a quick follow up. You know, obviously price cuts that we've seen Tesla, Ford, but it doesn't seem like GM is going down that path. Can you just hit on that concept? You know, that's a big focus of investors.
Mary Barra: Sure. When we look at our strong product portfolio and the interest that we have at the prices that we've already announced, we feel that we're well positioned. Even going into the first month of the year, we've seen a very strong customer interest in our products and so we think right now we're priced where we need to be. Of course we're going to monitor it and we'll make sure we remain competitive, but we really think with the strength of our product portfolio and what we have coming, we're positioned well.
Daniel Ives: Thanks, congrats.
Mary Barra: Thank you.
Paul Jacobson: Thank you, Dan.
Operator: Thank you. And our next caller is Rod Lache with Wolfe Research. You may go ahead, sir.
Rod Lache: Good morning, everybody. I just wanted to maybe just first follow up on Dan's question. Look, I know based on the prices that you've laid out for Equinox, Blazer, LYRIQ, that demand for the near-term is much greater than your ability to supply. But at the same time you're only assuming double or low single digit EBIT margin for EVs by mid-decade. And one of your peers is already at 20% gross and pretty healthy EBIT and their costs are still falling. So my question is whether there are changes that you're contemplating or that you could make to close in on that benchmark and generate similar margins any faster?
Paul Jacobson: Hey, Rod, Paul and thanks for the question. Thanks for being on. You know, I think it's important to note that as we look across the competitive landscape, that competitor you referenced wasn't there in the beginning either, right? There's a lot of scaling that we're doing across the board. So as we're running concurrent operations with ICE and EV there's obviously some frictional costs on utilization, et cetera, that we expect to be able to scale as we go through this transformation. The ICE portfolio remains really strong, but we're also building the EV factories for the future. And clearly the production levels that we see now and as we're ramping up aren't there yet. So we expect a tremendous level of operational synergies. We're also going to manage the business aggressively. I think the $2 billion cost reduction program that we're announcing today is a strong testament to that and making sure that we're driving efficiencies as we ramp up those productions. So it's not a, I don't think a direct apples-to-apples comparison, but one that we're obviously aware of. On the pricing front the demand is really, really strong for all of our vehicle programs going forward and we feel good about where we're going in the trajectory that we're on.
Rod Lache: Okay. Thank you. And just secondly the -- you referenced that $2 billion cost savings, what does that mean for structural cost expansion? And may be related to that, this 5% to 10% volume assumption that you've suggested would seem to imply that you don't see affordability or rates as a major impediment to growth at this point? Am I interpreting that correctly, or are you in fact making more room for pricing with this cost saving assumption?
Paul Jacobson: I would characterize it a little bit differently, Rod. So success is going to be driven by, when we look at our fixed cost lines being down $2 billion, that's what we're looking for across the board, and we can get there and I think it comes across all areas of the business. What I would say is we're being prudent about what we see out in the macro environment. Again, we continue to see strength in demand for our vehicles and strength in pricing. But we want to make sure that we're driving efficiency where we can and felt like this was the right time to be able to do that. So we're going to be measuring how we do it. We're still focused on the growth areas of the portfolio, but we recognize that there are ways that we can do things more efficiently and we expect to be able to drive that into margin performance. We’re not doing anything to prepare for a price war or we’re not doing anything in anticipation of a recession. I would say, it’s prudent cost management and just being aware of what’s around us.
Rod Lache: That number is net Paul; the $2 billion cost savings, or is that a gross savings objective?
Paul Jacobson: Net of…
Rod Lache: Well, in other words, is there, are your structural costs expected to decline by $2 billion expansion, I guess is a simple way to ask it, or is that, are there other things that are increasing offset that?
Mary Barra: For our automotive business, we’re expecting our structural costs to go down $2 billion. So it is that.
Paul Jacobson: Full stop.
Rod Lache: That is very clear. All right thank you.
Paul Jacobson: Thanks.
Mary Barra: Thanks, Rod.
Operator: Thank you. And our next caller is Itay Michaeli from Citi. You may go ahead, sir.
Itay Michaeli: Great, thanks. Good morning everyone, and congratulations. Just two questions on the outlook. First, can you maybe share kind of what you’re expecting for the company’s revenue growth in 2023 to just kind of want to calibrate that with the 12% CAGR for 2025? And secondly, I was hoping you could also maybe quantify the drag this year from some of the investments like the Ultium ramp and some of the other investments that you’re making as well. It sounds like, while the guidance certainly looks robust, there’s certainly a lot of investments still flowing through, so I was hoping maybe you could quantify that as well? And maybe also just provide a quick update on the Lordstown ramp as well?
Mary Barra: So, Itay you were a little garbled, so let us try, I’ll take the last one. The ramp at Ultium and Lordstown, Ohio is on track going well. The team is really ramping up, really focused on quality and the two between LG Energy Solution and General Motors working really well together. So I’m very pleased. As I mentioned, Spring Hill is also on track, as is Michigan, and those three plants are really what enables us to achieve the goals that we’ve set for getting to 2025 and a million units in North America. So that’s all going really, really well. From a, I think the middle question you had was about, with the investments that we’re making Ultium to quantify, I think, we’ve talked about what those investments are, but they’re part of our capital program that we announced last year, this year and going into next year, so that’s part of it. And…
Paul Jacobson: The first one was on the revenue growth Itay, so I’ll just jump in and say that we obviously experienced pretty significant revenue growth in 2022, driven by 25% increase in wholesale. We’re not expecting that similar jump in production in 2023. So we’re not giving any specific revenue guidance, but I would say that we would expect the growth rate to be below 2022 levels in line volume.
I Michaeli: Perfect. That’s very helpful. Thank you.
Paul Jacobson: Yes.
Mary Barra: Thank you.
Operator: And our next caller is John Murphy with Bank of America.
John Murphy: Good morning everybody. Just a first question, Mary on the IRA, I mean, there’s a lot going on with the interpretation and the final rules being set here. Originally it looked like GM was going to be relatively advantaged just the way that you were set up on production in your supply chain, but some of the interpretations on the commercial vehicle side and the fact that leased vehicles may fit the bill of being commercial vehicles that may open the door to Europeans, Chinese, Japanese, South Koreans, anybody be shipping EVs into the U.S. and still getting a $7,500 credit. So just curious, what your thoughts are on that? How do you think the rules should be interpreted, and could there be the chance if this, loophole or change stays enforced that you might ship EVs in from China?
Mary Barra: So our strategy all along for a very long time has been to build where we sell. And I think when you look at the work that we’ve done with the battery plants in this country and all of the supply investments that we’ve made, that helps us have I’ll say supply chain resiliency more certain, it gives us the opportunity with some of the deals we’ve made to, I think, have a better cost advantage. And also it’s good for the country and creates jobs, and that’s what IRA was meant to do. And so we’re waiting to see what the final rules and are going to be from treasury. I think regardless of some of the issues still to be clarified from a lease perspective, General Motors is still going to benefit greatly because if you look at the production tax credits from sales and module perspective, and then where we’ll be from a battery component in critical minerals, we think we’re well positioned again. The deal that we announced today, or the partnership, the equity investment, I think continues to reinforce it. So yes, we’re waiting to see what it is going to be, but our focus is on having a strong supply chain here. Obviously, when we get the final rules, we’ll look because, we do have a global footprint, but I think we’re focused on supporting North America production primarily from North America and to a certain extent from Korea. So again, we’re waiting to see, but I think you have to go back to what the intent of IRA was.
John Murphy: Yes, I agree with you. Just one followup, you mentioned fleet sales as an opportunity, fleet sales have been very low for the past couple years. I mean, fleets have been very under satiated or not satiated at all on their demand function. And now that supply is becoming more normal, how big a part of a recovery do you think they could have in the market just maybe in general where have they been for GM in 2021, 2022, and where do you think they might be in 2023? And how big a part did that play in sort of the development of EVs profitably into fleets in the early stages of the EV ramp?
Mary Barra: Well, I think it’s an important part, and I think when you look at BrightDrop, it’s a true just all growth opportunity for us. I think when you look at the Silverado EV work truck, I think that’s going to be very important as well. And so we’re going to make sure that as we grow our fleet commercial rental business, it has an appropriate profitability profile, not from the days 10, 15 years ago when we really stepped back from that. But I think whether it’s what we announced with Hertz and the number of customers that we have interested, every company is working to reduce their carbon footprint. And so the EVs that we have just to help support that I think are going to be very strong, and I think we’re going to have a good portfolio. So I think that allows us to grow, especially in areas where we weren’t involved in the past, EVs is a fresh start there.
John Murphy: I’m sorry, if you were to think about at 5% to 10% increase in wholesale volumes, would that be dominated by fleet? I’m just -- because I mean everybody is obviously very concerned about the retail customer at the moment, but really neglecting that quarter of this market is traditionally fleet, and it’s 10% to 15% in the last couple of years. So I mean, the potential doubling in fleet volume that can come in the market at large and maybe being very supportive of that wholesale increase. So I mean, could you give us some numbers or thoughts on how supportive that could be to that 5% to 10% wholesale increase?
Mary Barra: I think when we talk about a 5% to 10% increase we’re talking across the board. When you look at the EV launches that we have, the fact that we have brand new Chevrolet Silverado and GMC Sierra heavy-duty pickups, the fact that we have the new midsize, which is just an outstanding midsized truck with the Chevrolet Colorado and the GMC Canyon as well as the Trax. So we think from an ICE perspective, we have an opportunity. We think from clearly the EV ramp-up that we’re going to have this year; it’s a part of it. And some of that -- both of those exciting products will be in the fleet business. So I think it’s a both answer, John, not a single one or the other.
John Murphy: Thank you very much.
Operator: Thank you. Our next caller is Ryan Brinkman with JPMorgan.
Ryan Brinkman: Hi, thanks for taking my question. With regard to the $300 million tailwind you are assuming from clean energy tax credits in 2023, I heard you say this could grow substantially over time. I just wanted to check in, try to dimension that potential. Are you assuming a benefit of $35 per kilowatt hour or $45? And are you in a position yet to share or have you resolved internally with your JV partner how these tax benefits are expected to be shared between GM and LG? I’m just trying to dimension if the opportunity is 1 million vehicles in 2025, times $45 per kilowatt hour, $35, and then to understand whether we need to split that amount 50-50 or if there’s some other math we need to take into account?
Paul Jacobson: Yes. So Ryan, a lot of detail in your question. I’ll take it back to what we said at Investor Day was we expect EV benefits, tax benefits to be $3,500 to $5,500 per vehicle. The $300 million in 2023 is obviously a function of our ramp rate of our cell production. We’re not going to go into any details on how that works across the board. It’s our best expectation of where we’re going to land is at least $300 million this year and ramping up rapidly as our production increases across our Ultium plants.
Ryan Brinkman: Okay, great. Thank you.
Operator: Thank you. Our next caller is James Picariello with BNP Paribas. You may go ahead sir.
James Picariello: Hi, everyone. Just on back to the GM's EV pricing relative to the market in North America, how would you assess GM’s price competitiveness given the latest moves by competitors? It sounds as though demand in your order books are quite full. But just given the more recent competitive responses by others it would be curious to get your take whether your GMC is the opportunity to reposition or we also have the IRA defined MSRP caps as well to consider. Thanks.
Mary Barra: Sure. Well, I think that’s the strength of what General Motors is planning to launch this year. Many of the products that we have are going to be below the caps because we have a full portfolio of EVs at multiple price points. When you think about the Equinox EV, the Blazer EV and then the Silverado as well as the LYRIQ, I think we’re really well positioned. And these are brand-new products into the marketplace that we have really strong interest. So that’s why both Paul and I feel that right now, based on the interest and the fact that the pricing that we put out even before the IRA came out, was very appropriate. We’re going to -- and because of the strength of the Ultium platform, that’s what enables us to do that along with the fact that we’re ahead from most of the, I’ll say, the traditional OEMs and getting battery cells produced in this country. So I think if you look at the strategy we’ve been executing we’re well positioned, and the strength of our product portfolio, I think is what is giving us the confidence to where we sit right now with feeling that we're priced appropriately.
James Picariello: Understood. And then just within the 400,000 cumulative EV production target by the first half of next year, can you just mention what portion of that would be your EV truck platform?
Mary Barra: We haven’t provided that kind of specific analysis, but the fact that the HUMMER to begin with, and that will ramp significantly this year and even more next year as we’re completely sold out. And then the Silverado that we think we’re going to -- the Silverado EV work truck and then the RST [ph] comes at the -- toward the end of the year. I mean I think all of those are very significant products that are going to do very well, but we’re not giving specific numbers.
James Picariello: Understood. Thanks.
Operator: Thank you. Mark Delaney with Goldman Sachs. You may go ahead.
Mark Delaney: Yes, good morning and thank you very much for taking the question. Is GM considering changes to its longer-term battery plans for North America has there have been media reports recently suggesting both the GM is considering adopting cylindrical cells and also the GM and LG may not partner on a fourth battery plant?
Mary Barra: So first, one of the strong points of the LCM platform is that it’s chemistry agnostic, and it can take pouch, prismatic or cylindrical cells. And so we can look to what is going to be the right battery for the specific vehicle from a performance perspective. So we have that complete flexibility. We have very important work going on with LG Energy Solution. They’re an incredibly important partner to us. And we’re working well together as we mentioned, with the launch of the Orion or excuse me, the Lordstown plant and then Spring Hill and then the plant in Michigan. So we’re working well together, and we are going to need a fourth plant and more plants beyond that. And as we have those details to share, we will share them. But right now, there’s nothing that’s really changed in our plan to have battery manufacturing capability here in the U.S. and broadly in North America as well.
Mark Delaney: That’s helpful. Thank you. My second question was on Cruise and congratulations on the expansion into the new geographies last year. As you think about 2023 and I know you’re planning to expand, could you elaborate a bit more on your expansion targets for Cruise? And any potential changes in San Fran given the recent feedback from the local government there? Thank you.
Mary Barra: Kyle, do you want to take that one?
Kyle Vogt: Yes, sure. I can take that. So we will be expanding in 2023 to several new cities, but our current focus is on expanding our driverless service in San Francisco as well as in Phoenix and Austin following our initial driverless launches there. The initial deployments in Phoenix and Austin were modest, and we want to expand those very quickly. And of course, by doing that, expanding into these new cities using this repeatable playbook we’ve developed across safety and operations and some of the technical features, the barriers to launching in new cities can drive growth in existing markets are much smaller because of that upfront work we’ve put into all of those really difficult barriers to scale first. And I think your second question was on the SFMTA comments about our California Public Utilities Commission permit to expand. And I just want to say there that our safety record is publicly reported and includes having driven millions of miles in an extremely complex urban environment with zero life-threatening injuries or fatalities and we’re really proud of that record and also that the overwhelming majority of public comments on our permit application, including advocates from the disability community, small businesses and local community groups support expanding our fleet in San Francisco.
Mark Delaney: Thank you.
Operator: Thank you. Our next caller is Adam Jonas with Morgan Stanley. You may go ahead sir.
Adam Jonas: Hi, thanks everyone. I just want to follow up on Mark’s question about the -- about Ultium and the form factor. I appreciate that there’s room for flexibility. And you’ve mentioned in the past, Mary, that the Ultium system was kind of form factor and chemistry agnostic. But if you did change to cylindrical, the 46/80 form factor as reported in some of these sources what kind of thing would drive such a change? I’m not saying that you have made that decision, but it seems like it is potential -- there’s potential to do that. What kind of -- would it be driven by safety or cost and kind of how difficult would it be to make that flip?
Mary Barra: So first of all, I’m not going to comment on speculation, Adam. And by the way, hello, but we -- we’re looking really at performance. I mean, one of the things when you look at with the way that you configure the packs within Ultium, the difference of the cells is a lot having to do with performance and how do we get the max benefit. Again, our team has been working and looking at all three cell form factors for a while. In fact, today, from a prismatic perspective, that’s what’s in the vehicles, the Ultium-based vehicles that we’re launching like the LYRIQ and the Buick in China. So we all along have been looking at all three form factors.
Adam Jonas: Thanks, Mary. And I just have a follow-up for Paul on the pricing. You mentioned higher incentives, but offset by the increase in step-up in the MSRPs. I just want to make sure we’re interpreting that correctly that those are kind of a wash that you think one more or less compensates for the other to leave the pricing element more or less stable from 202s2 to 2023. Is that -- is that the correct way to think about it broadly? I know it’s a volatile environment, but just want to as a starting point, is that the message, a wash?
Paul Jacobson: Yes. I would say order of magnitude, yes. The pricing increases, we’re not contemplating big ones this year, rather the annualization of what we did last year across the board. We have some new launches that would kind of come in. We won’t get specific on that. But we are assuming that there’s going to be some steady increased normalization of incentives. That’s where we said we’re trying to plan conservatively. What I’ll tell you is, January month has come in really, really strong, a continuation of what we saw in December and we’re just watching the environment around us, but we still feel good about where demand sits.
Adam Jonas: Thanks, Paul. Thanks Mary.
Paul Jacobson: Thanks, Adam.
Mary Barra: Thanks.
Operator: And our next caller is Chris McNally with Evercore.
Christopher McNally: Thanks so much. I just want to revisit Ryan’s question on the IRA $300 million, and thanks so much for giving that number. Just our math is that, that would be something like 10 to 12 gigawatts from the two facilities in Ohio and Tennessee and without sort of confirming the explicit math, can we just talk about maybe how long it may take to ramp Ohio? And then obviously, Tennessee is only starting at the end of this year, but I think they’re about 40 gigawatts each. So it seems like there is a material amount to grow at that capacity growth, but just anything you could talk about the time line on Ohio and Tennessee Giga?
Mary Barra: Yes. So the plan was we started in fourth quarter, and we said a couple of earnings calls ago that Ohio would add 20% more capacity every quarter, so it would be fully up and running by the end of the year. That plan is still on track. I think you’ll see us follow with similar, but maybe a little faster in Spring Hill because we already have all the experience. And we actually have people from Spring Hill at the Ohio facility right now to make sure we have a smooth start-up there. So -- and we’ve talked about the plan is roughly around 37, 40. So I think you’re in the right ballpark, but that’s how those plans will ramp up.
Christopher McNally: Perfect. That’s super helpful. And just the follow-on, just from a modeling perspective, should we assume the 300 flows through EBIT or is there any benefit that also is going to start to benefit taxes as well? Just it is more we’re going to see the benefit of IRA if it’s only in EBIT or if there is actually some tax component as well?
Paul Jacobson: We think that there will be some that kind of flows through both. Our deck has a guide on a lower tax rate of 16% to 18% for 2023. That’s largely driven by R&D credits and some IRA. We’re not getting any specifics into the breakout between them until we see the regs written, and we get more definition around it, but we do expect that there are likely going to be components in both areas.
Christopher McNally: Okay, thanks so much Paul.
Operator: Thank you. And our last question comes from the line of Emmanuel Rosner with Deutsche Bank.
Emmanuel Rosner: Thank you so much. Two fairly quick ones, first one is back on pricing. I think you said you’re trying to be conservative in your assumptions. So I was just hoping you could be a little bit more specific or explicit around what sort of incentive environment you’re assuming, because I understand the MSRP going up, just not super clear from the outside, what sort of macro and/or industry environment you’re assuming and the impact on the overall industry incentives?
Paul Jacobson: Yes, hey Emmanuel, so nothing specific to guide on in terms of our forward incentives beyond. We do expect over time for incentives to increase from the sort of record low levels that we’ve seen. We’ve seen slight upticks, but I would say that’s largely more of a function of interest rates than it is waning demand or inventories. Inventories still remain very tight. We expect that to be the case, especially grounded inventory at dealers through 2023. So while we see some normalizing of incentives, nothing more specific than that, that we’ll guide to.
Emmanuel Rosner: Okay. So then just affirming in terms of macro environment, if that’s okay. Are you assuming some sort of recession in the second half impact on sort of like consumer demand for vehicles or are you assuming sort of current conditions continue? And then I just have a follow-up on free cash flow.
Mary Barra: Yes. So again, this is a situation we’re watching carefully. But what we see from a new vehicle consumer is a consumer, as Paul said, even in the month of January we’ve seen it to be very strong. So we’re going to continue to monitor that and take the necessary steps. But we’re going to watch and learn as we go through the year. We told you at Investor Day, we were going to be conservative as we plan this year, but also position ourselves to take advantage of whatever the market ends up being, and we’re still on that plan executing. But again, from an early read in January, it’s pretty positive.
Emmanuel Rosner: Okay. Thanks for that. And then just quickly on free cash flow. Can you just provide a high-level walk between the 2022 strong performance in 2023? Because obviously, the two sort of elements you would exclude to make them comparable the pension income, this is noncash, right? So yes, walk between 2022 and 2023 would be helpful.
Paul Jacobson: Yes, just really high level, $10.5 billion in 2022. At the midpoint, we’ve got a couple of billion dollars more of CapEx going forward and probably not as much of a working capital build as we saw in 2022. That’s high level how you get to the 5 to 7.
Emmanuel Rosner: Great. Thank you so much.
Mary Barra: Thank you.
Paul Jacobson: Absolutely.
Operator: Thank you. I would now like to turn the call over to Mary Barra for her closing remarks.
Mary Barra: Great. Well, thank you, Michelle, and thanks to everyone for your questions. We, at General Motors, are really excited about the opportunities ahead of us in 2023, especially with all the new vehicles that we’re launching. Chevrolet and GMC will build on their leadership in pickup trucks and Chevrolet is giving customers around the world compelling entry-level products too. And this is the breakout year for the Ultium platform. So when you look at the products we’ll have by the end of this year, again, they’re all outstanding. Again, we expect another year of strong financial results and our confidence reflects the determination of the GMT -- of the GM Team, the strength of our vehicles we’re delivering and the valuable relationships we’ve developed with our dealers, our suppliers and our other partners. So I hope you see with what we did in 2022 and what we’re indicating we’re going to be able to achieve in 2023 that we continue to have your confidence, and we look forward to continuing to tell you more about this year as we go forward. So I hope everyone has a great rest of the day.
Operator: That concludes today’s conference call. Thank you for joining.